Operator: Good morning. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tennant Company's Fourth Quarter and Full Year Earnings Conference Call. This call is being recorded. There will be time for Q&A at the end of the call. [Operator Instructions] After the Q&A please stay online for closing remarks from management. Thank you for participating in Tennant Company's fourth quarter and full year earnings conference call. Beginning today's meeting is Mr. Tom Paulson, Senior Vice President and Chief Financial Officer for Tennant Company. Mr. Paulson, you may begin.
Tom Paulson: Thanks, Stephanie. Good morning, everyone. And welcome to Tennant Company's fourth quarter 2014 earnings conference call. I am Tom Paulson, Senior Vice President and Chief Financial Officer of Tennant Company. With me on the call today are Chris Killingstad, Tennant's President and CEO; and Karen Durant, Vice President and Controller. Our agenda today is to review Tennant's performance during the 2014 fourth quarter and full year, and our outlook for 2015. First, Chris will brief you on our operations, and then I'll cover the financials. After that we will open up the call for your questions. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we filed with the Securities and Exchange Commission. We encourage you to review those documents, particularly our Safe Harbor statement for a description of the risks and uncertainties that may affect our results. Additionally on this conference call, we will discuss non-GAAP measures that include or exclude special or non-recurring items. For each non-GAAP measure, we also provide the most directly comparable GAAP measure. There were no special non-GAAP items in 2014, but there were special non-GAAP items in the first and fourth quarters of 2013. 2014 fourth quarter earnings release includes a reconciliation of these non-GAAP measures to our GAAP results for the 2013 fourth and full year. Our earnings release was issued this morning via Business Wire and is also posted on our new Investors website at investorstennantco.com. At this point, I'll turn the call over to Chris.
Chris Killingstad: Thank you, Tom, and thanks to all of you for joining us this morning. We are very pleased to report another strong quarter. Tennant again executed well on our growth strategies. Our platform to accelerate organic sales is clearly working. We are on track to reach our organic growth goal of a $1 billion in sales by 2017. And we remain committed to the goal of a 12% or above operating profit margin. In the 2014 fourth quarter Tennant posted double-digit gains in sales and earnings per diluted share. Organic sales rose approximately 14% and set a record for our fourth quarter. Notably, this marked our highest organic sales growth quarter of the year. In the fourth quarter we had increased revenues in all equipment categories and organic sales gains in all our geographic regions. Contributing to these results were robust sales through strategic accounts and through distribution, as well as continued demand for new products such as our mid-size T17 rider scrubber and walk-behind burnishers. Also sales of scrubbers equipped with ec-H2O technology rose nearly 11%. Now, I'd like to share a few sales highlights by geography. We saw continued strong growth in the 2014 fourth quarter in Tennant’s largest region, the Americas. Sales were up 16% organically, driven primarily by performance in North America. We are pleased that two leading U.S. big-box retailers renewed their contracts with us, which contributed to the strong results from strategic accounts. Latin America is growing at a slower rate due to macroeconomic conditions there. In the important market of Brazil, we continue to have a strong share and are well-positioned for growth when the economy improves. Sales in EMEA rose approximately 8% organically, chiefly due to contributions from our Outdoor City Cleaning business. This marks the fifth consecutive quarter of positive growth in Outdoor Equipment. Further, our Industrial and Commercial Equipment business performed well in the U.K. and Germany. We are pleased with our results in EMEA and our strategies here remain on track. Sales in the Asia-Pacific or APAC region increased approximately 15% organically. As you'll recall, Tennant’s APAC sales were solid in the 2014 first half and then softer in the third quarter. But as anticipated, our sales in this region returned to positive growth in the 2014 fourth quarter and rose in all countries. Taking a look at profit margins in the 2014 fourth quarter, we continue to experience the supply chain challenges that I mentioned on our last call -- on our call last quarter. We had increased cost-related to hiring and training additional manufacturing employees and temporary workers to support higher production levels, including the continued ramp up to meet growing demand for new products. Despite this, we achieved leverage in Tennant’s gross and operating profit margins during the 2014 fourth quarter. That leads into new products. Tennant continues to execute against one of the strongest new product and technology pipelines in the company's history. In 2014, Tennant introduced 18 new products, including eight products unveiled in the fourth quarter. In 2015, we plan to introduce 36 new products on top of 55 launched from 2012 through 2014. As you know, innovative products and technologies are a significant driver of the company's revenue. Sales of new products introduced since the 2012 fourth quarter have risen steadily from 2% of total equipment sales in the 2013 first quarter to 16% in the 2014 fourth quarter. This demonstrates the growing momentum of new product sales as we complete our launches and demand accelerates. In early November, we were excited to preview several upcoming introductions at ISSA, the cleaning industry trade show, including a prototype of our next-generation ec-H2O technology called ec-H2O NanoClean. This next-generation solution offers the same great benefits of the first-generation and will now clean better and clean more soils in more applications. The name NanoClean refers to the creation of nanoscale bubbles that are important part of the cleaning mechanism. We anticipate offering it on select scrubbers at the end of the first quarter of this year. We look forward to telling you more about this technology in the near future. Sales of scrubbers equipped with our first generation ec-H20 technology grew nearly 11% in the fourth quarter, a record sales level in a quarter and rose 7% in 2014, reaching $153 million in ec-H20 sales for the 2014 full year. Also in the fourth quarter, Tennant company's Orbio Technologies Group received the ISSA Innovation Award for the Orbio os3 On-Site Generation system. Launched in 2014, the Orbio os3 delivers on-site generation of an anti-microbial solution as well as an effective multi surface cleaner for use in a wide variety of customer segments. It is small, simple to use and affordable. And it needs U.S. EPA regulatory guidelines for disinfection and sanitization. The positive response across a broad range of industries is encouraging. Key leading indicators such as the pipeline of active prospects, customer trials and trial conversion to sales continued to grow. In addition, I’d like to note that our new T17 mid-size rider scrubber has been a real home run this year. This model has the largest available battery capacity in its class, making it highly productive. And it will clean up to eight hours on a single charge. Sales of the T17 exceeded our high expectations in 2014. Looking at our first year performance against our growth agenda, our strategies are clearly working. We have made important investment in sales, marketing and distribution to increase our global market share. These investments have been front-end loaded but they are paying off. And we anticipate they will continue to generate strong organic sales. Our focus remains on executing our growth strategies and working to resolve the short-term supply chain challenges in order to achieve our profitability objectives. Going forward, the main drivers of our growth strategy continue to include strong and sustained new product growth in our core business and in the Orbio Technologies Group, continued significant sales gains in emerging markets, growth in Europe, ongoing focus on strategic accounts and an enhanced go-to-market strategy designed to meaningfully expand Tennant's global market coverage and customer base. We are encouraged by our performance in 2014 against our growth agenda and expect to deliver organic sales gains in the mid-to high single-digit range in 2015. While we anticipate that foreign exchange rates will unfavorably impact sales and earnings in 2015, we are focused on controlling what we can control. We will continue to focus on creating value by introducing new products and expanding our global sales and marketing initiatives to increase our global market share while concurrently running a more efficient business to raise productivity. We anticipate this will lead to double-digit organic operating profit growth in 2015. We believe the Tenant’s future is bright. Now I'll ask Tom to take you through Tennant's fourth quarter financial results. Tom?
Tom Paulson: Thanks Chris. Excuse me. In my comments today, all references to earnings per share are on a fully diluted basis. Also please note as I go through the result, I’ll generally not comment on the 2014 full year financials as those were detailed in earnings release. For the fourth quarter ended December 31, 2014, Tennant reported net sales of $216.3 million compared to $195.1 million in the prior year quarter. Organic sales grew approximately 13.8% excluding an unfavorable foreign currency exchange impact of approximately 3%. For the 2014 full year, Tennant reported net sales of $822 million compared to $752 million for the 2013 full year. Organic sales rose approximately 10.3%, excluding an unfavorable foreign currency exchange impact of about 1%. We are encouraged by the solid level of organic sales growth this past year. Fourth quarter 2014 net earnings were $17.5 million, or $0.93 per share. In the year-ago quarter, Tennant reported net earnings of $10.3 million or $0.55 per share. The 2013 fourth quarter included a $1.6 million pretax restructuring charge or $0.10 per diluted share to right size Tenant’s cost structure and enhance our go-to-market approach primarily in Europe. Excluding these special items, adjusted 2014 fourth quarter net earnings totaled $12.2 million or $0.65 per diluted share. Turning now to a more detailed review of the 2014 fourth quarter. Our sales are categorized into three geographic regions which are the Americas, which encompasses all North America and Latin America, EMEA which covers Europe, the Middle East and Africa and lastly Asia-Pacific which includes China and other Asian markets, Japan and Australia. In the Americas, 2014 fourth quarter organic sales increased approximately 16%, excluding about 1.5% of unfavorable foreign currency impact. Record sales for fourth quarter in North America were fueled by strong sales of strategic accounts and through distribution, including sales of new products. Latin America organic sales growth in the 2014 fourth quarter was approximately 15% which was strong but slower compared to about 20% in the 2013 fourth quarter. This was primarily due to economic headwinds in Brazil -- economic headwinds in Brazil. Chris mentioned, this is an important emerging market for us and we remain confident about the long-term growth prospects there. In EMEA, organic sales growth in the 2014 fourth quarter was approximately 8%, excluding an unfavorable foreign currency impact of about 8%. This compares favorably to the organic sales growth of approximately 6.5% in the 2014 third quarter, excluding a favorable foreign currency impact of about 2%. While the derivation of organic sales growth excludes the impact of foreign currency exchange, it is important to note the significant swing in just one quarter from an approximate 2% benefit in the 2014 third quarter to an approximate 8% unfavorable impact in the 2014 fourth quarter. Organic sales in EMEA in 2014 fourth quarter was broad-based. We had another good quarter in our city cleaning business. Sales of industrial and commercial equipment in the U.K. and Germany were strong in the 2014 fourth quarter. EMEA organic sales for the 2014 full year grew approximately 4.4%, excluding a favorable foreign currency impact of about 1%. In Tenant, Asia-Pacific region organic sales increased approximately 14.5%, excluding an unfavorable foreign currency impact of about 5.5%. Despite continuing economic uncertainties in this region, sales growth was positive in all countries in the 2014 fourth quarter. APAC organic sales for 2014 full year was approximately 12.8%, excluding an unfavorable foreign currency impact of about 4% and organic sales in China grew approximately 15% for the 2014 full year. Tenant’s gross margin for the 2014 fourth quarter was 43% compared to 42.9% in the prior year quarter. This was within our target range of 43% to 44%. Gross margin in the 2014 fourth quarter was 10 basis points higher than the prior year quarter despite the supply chain challenges as Chris noted. We continue to proactively address these challenges in order to increase manufacturing productivity and further improve our gross margin performance. From a timing perspective, these are short-term issues but will likely take another one or two quarters to remedy. Research and development expense in the 2014 fourth quarter totaled $7.5 million or 3.4% of sales, compared to $7.2 million or 3.7% of sales in the prior year quarter. We continued to invest in both our core business and Orbio, which is focused on advancing a suite of sustainable water-based cleaning technologies. Selling and administrative expense in the 2014 fourth quarter totaled $63 million or 29.1% of sales. This compares to S&A in the fourth quarter of last year of $58.9 million or 30.2% of sales and $57.3 million or 29.4% of sales as adjusted. To accelerate future growth, we continued making targeted strategic investments in direct sales coverage, distribution and marketing capabilities. Absent these investments, we would've achieved even greater operating leverage in the 2014 fourth quarter. We are building for long-term growth. Our 2014 fourth quarter operating profit totaled $22.6 million or 10.5% of sales, compared to the year earlier operating profit of $17.7 million or 9.1% of sales and $19.2 million or 9.9% of sales as adjusted. As the U.S. dollar strengthened throughout the 2014 fourth quarter, foreign currency exchange reduced operating profit by approximately $1.3 million. As Chris noted, we remain committed to our goal of 12% or higher operating profit margin by successfully executing our strategic priorities and assuming the global economy improves. As we work towards this target, we are keenly focused on driving organic revenue growth in the mid-to high single-digits, holding fixed costs essentially flat in our manufacturing areas as volume rises, striving for zero net inflation at the gross profit line and standardizing and simplifying processes globally to continue to improve the scalability of our business model while minimizing any increases in our operating expenses. Thus far, we’ve made significant progress in building a scalable business model, capable of delivering improved operating efficiency and profitability. We now have placed a renewed focus on accelerating organic revenue growth. While we're very encouraged with the level of organic sales growth achieved in recent quarters, we have experienced some growing pains as we adjust our operations to this higher pace of growth. We continue to successfully execute our tax strategies. Tennant's overall effective tax rate for the 2014 full year was 27.2%, which was lower than the 32.8% for the 2013 full year. This improvement was due to the mix of full year taxable earnings by country and routine favorable discrete tax items such as favorable settlements on prior year's tax positions. The base tax rate of 29.3%, which excludes routine discrete tax items, was below our targeted range of 31% to 33%. Note that we were able to include the entire year benefit in the 2014 fourth quarter for the federal R&D tax credit, which was reenacted for 2014 in December of 2014. Turning now to the balance sheet, again this continues to be very strong. Net receivables at the end of the 2014 fourth quarter were $152.4 million versus $140.2 million a year earlier. Quarterly average accounts receivable days outstanding were 62 days for the fourth quarter, compared to 61 days for the 2013 fourth quarter. Tenant’s inventories at the end of the 2014 fourth quarter were $80.5 million versus $66.9 million a year earlier. Quarterly average FIFO days inventory in hand were 84 days for the 2014 fourth quarter, compared to 81 days in the year ago quarter. We have increased our inventories to support higher sales level and many new product launches. Capital expenditures of $19.6 million in the 2014 full year were $4.8 million higher than $14.8 million in the prior year, with planned investments in tooling related to new product development and manufacturing and information technology process improvement projects. Tenant’s cash from operations was $59.4 million in the 2014 full year, comparable to the cash from operations of $59.8 million in the 2013 full year. Cash and cash equivalents are strong, totaling $93 million, up $12 million from $81 million a year ago. The company's total debt of $28.1 million declined $3.7 million from $31.8 million a year ago. Our debt to capital ratio was 9.1% at the end of 2014 fourth quarter versus 10.8% a year ago. Regarding other aspects of our capital structure, effective with the June 2014 dividend, Tennant raised the payment 11% from $0.18 to $0.20 per share. We paid cash dividends of $14.5 million in the 2014 full year, compared to $13.2 million in the 2013 full year. Reflecting our commitment to shareholder return, we're proud to say that Tennant has now increased our annual cash dividend payout for 43 consecutive years. During the 2014 full year, we purchased 225,034 shares of tenant stock at an average price of $62.64 per share for a total cash outlay of $14.1 million. As of December 31, 2014, we had 405,569 shares remaining under our repurchase program. Moving now to our outlook for 2015, we have routinely discussed the impact of foreign currency exchange in our sales. But now with the significant change in foreign currency exchange rates in the 2014 fourth quarter, that we anticipate will also unfavorably affect sales and earnings in 2015, we are providing additional guidance regarding foreign currency exchange. We estimate 2015 full year net sales in the range of $825 million to $855 million, up 0.4% to 4%, or approximately 5% to 9% organically, assuming an unfavorable foreign currency impact on sales in the range of 4% to 6%. We estimate the 2015 full year earnings in the range of $2.40 to $2.70 per diluted share. Foreign currency exchange headwinds in 2015 are estimated to reduce operating profit in the range of $10 million to $12 million, or approximately $0.37 to $0.44 earnings per diluted share. The estimated higher effective tax rate in 2015 of approximately 31%, compared to 27.2% in 2014 is anticipated to negatively impact earnings per diluted share by about $0.14. The foreign currency exchange headwinds coupled with a higher effective tax rate is anticipated to negatively impact 2015 earnings in the range of $0.51 to $0.58 per diluted share, or approximately 19% to 22%. For the 2014 full year, diluted earnings per share totaled $2.70 on net sales of $822 million. Historically, the first quarter is our lowest for sales, operating profit and operating profit margin. We anticipate the foreign currency exchange headwind will be the strongest in the first quarter of 2015, which will put additional downward pressure on our financial results. However, we do anticipate organic operating profit growth in the second, third and fourth quarters of 2015. Our 2015 annual outlook includes the following expectations, economic strength in North America, modest improvements in Europe and growth in emerging markets, increased foreign currency impact on sales for the full year in the range of an unfavorable 4% to 6%, with a $10 million to $12 million negative effect on operating profit, gross margin performance of approximately 43%; research and development expense of approximately 4% of sales; capital expenditures in the range of $25 million to $28 million; and an effective tax rate of approximately 31%, including the anticipated enactment of the 2015 federal R&D tax credit. Note that our 2015 effective tax rate does anticipate a 2015 benefit for the federal R&D tax rate. However, that has not yet been reenacted for 2015. Therefore, we’re not allowed to include its favorable impact in the 2015 tax rate we record until it’s enacted. Our sales and earnings guidance reflects the success of our renewed focus on accelerating organic sales growth and our continued investments in direct sales, distribution and marketing to drive additional future growth. It also assumes that it will take us one or two quarters to further improve the performance throughout our supply chain as we continue to ramp up to support higher levels of production and launch new products. Finally, it also includes the estimated significant unfavorable impact of sales and earnings from foreign currency exchange rates. We are looking at a number of opportunities to proactively mitigate the foreign currency exchange headwind that include increased selling prices in the affected local markets, evaluating the potential to expand the scope of our hedging strategies and exploring the feasibility of producing and shipping products from locations with a more favorable foreign currency exchange pairing. Tennant’s operations are performing well and our objective is to continue to build our business for sustained success. Now we would like to open up the call to any questions. Stephanie?
Operator: [Operator Instructions] Your first question comes from Jason Ursaner with CJS Securities. Please go ahead.
Jason Ursaner: Good morning.
Chris Killingstad: Hi, Jason.
Tom Paulson: Hi, Jason.
Jason Ursaner: Just first question on the supply chain challenges. I just didn’t hear if you had quantified it all in the quarter and what the impact on the first half of next year would be on the gross margin in guidance?
Tom Paulson: Yes. We didn’t specifically quantify it. We did say that it did hurt us obviously in the fourth quarter, as we only were able to see modest improvement versus the prior year in our gross margin. The biggest driver of that differential was the supply chain issues that we had, and there were some other pieces to. What we did comment is that, we felt it would be more than likely into Q2 before we had the problems completely behind us, but I think that the most important thing to note is, it’s in our control. We did see improvement throughout Q4. December was the strongest month that we had from a performance point of view. And we’re continuing to see improvements as we enter Q1. And we are halfway through the quarter at this point. And we are continuing to make the progress as we would expect. So we will get this behind us. It’s in our control.
Jason Ursaner: Okay. And then just maybe staying with the gross margin in the quarter or for the outlook, besides the impact of the inefficiencies, could you maybe just talk about currency from a gross margin perspective? And then also the channel mix with the strategic account sound like that was pretty strong, and that’s had an impact on gross margin where it’s positive on operating dollars. Just wondering if that had any impact in the quarter from gross margin perspective?
Tom Paulson: We didn’t precisely talk about it, but you could make a pretty good estimate of it, Jason, by looking at the foreign currency impact in the quarter and revenue, and then there was a $1.3 million impact at the operating profit line. So the biggest dollar effect is going to be a gross margin. And so there is a meaningful impact on gross margin in the quarter also, but it’s a $1.3 million at the operating profit line.
Jason Ursaner: Okay. And just more from a high level, the amount flowing through the operating profit and through the gross margin is a little more than I modeled. Just I guess my understanding is you tend to manufacture in the region you are selling.
Tom Paulson: Yes. Let me give you some insight into. That’s a good question. If you look at next year, we are saying that the impact to revenue is 4% to 6%. So if you pick around dollar number, that’s about $40 million impact or so. It’s that somewhere within that range. And some countries are less effective, even though the currency movements are large, country like EMEA would be that way, because we are producing 75% to 80% of our needs within the country. We are sourcing in euros. We have a great deal of support staff in euros. If you go to countries that are completely import countries like Australia, or Canada where we are supplying them from the United States, they are being supplying on a dollar basis. So the impact and flow through from revenue all way down to operating profit is a fair amount higher in those countries, because they don’t have the same natural hedge that we have in EMEA for example. So it’s not completely intuitive, but EMEA is not as big of a deal for us, even as much as the euros moving the levels that no one would have anticipated. We are seeing bigger impacts in countries like Australia and Canada and Japan, and we will price as aggressively as we can, given the market. And we realized it is temporary and we all know the dollar will move and weaken at some point, we just don’t know when.
Jason Ursaner: And in terms of the factor to mitigate the impact, you mentioned increasing price. Given that your competitors are mostly in Europe, I mean is it not really giving you any cost disadvantage on the manufacturing side to try to go after?
Tom Paulson: Yes. We have to be cognizant of that. And I mean, there is one of our larger markets Australia, all of our competitors that matter are European, they have a -- they do today have a currency advantage with us and we have to be cautious with that as we price. And we commented on that during our script. I mean. we are in this for the long haul, we are going to do what’s right for our customers and we are not going to make short-term pricing decisions to have a long-term negative impact on the business.
Jason Ursaner: Okay. Appreciate. I will jump back in the queue and let some other people ask the questions.
Tom Paulson: Yes. Thanks, Jason.
Operator: Your next question comes from Joe Maxa with Dougherty & Company. Please go ahead.
Joe Maxa: Thank you. Good morning.
Chris Killingstad: Hi, Joe.
Joe Maxa: Hi. Guidance suggests that operating profits will be flattish to maybe up a little bit depending on how you model it? And I think…
Tom Paulson: Yes. If you looked at operating profit dollars directionally at the low end and the high end, you would -- you can work your way backwards from the EPS numbers that we gave you. You would actually see a decline in operating profit on a dollar basis and margin basis at the low end, at the high end you would see some modest growth and without getting specific about it. So you are correct. We’d like to say that what we want to be focused on, we are going to provide you this information every quarter as we move forward through the year. We’ve given you our best shot at what we think based on current rate the impact could be. At the operating profit line, it’s $10 million to $12 million. We will comment on that each and every quarter. We would like to comment -- we would like to think about the business, about what we are seeing from an organic operating profit growth as we restate the currency. And the range on the high end is, we are actually seeing growth about 20% on an organic basis and we are going to spend most of our energy focus there and we are going to do whatever we can to mitigate the currency side, but we need to run our business on an organic basis and stay focus there.
Joe Maxa: Okay. I just missed this. So the 10% comment on growth was on an organic basis?
Tom Paulson: Yes.
Joe Maxa: Understood. Do you think you will need to see a rebound in the various foreign currencies to hit that your $1 billion and 12% goals?
Tom Paulson: That would be the right way to think about it. I mean, we are -- we just don’t know when currency is going to move, but we’ve been consistent in that, billion dollar target was based on 7% compounded organic growth across the four-year time horizon. Today we’re ahead of the curve organically and it -- but, that’s where we’ll spend our energy. We could easily come back and by the end of the time horizon will be on the other side of this curve and it could be an advantage to us. But the thing we care about is, we’re going to grow somewhere -- we like to keep growing above that 7% range. We have one year under the belt or it be at by 3 percentage points and we’re focused on the organic side of it. But you’re right in your peer assessment on a dollar basis.
Joe Maxa: Right. The next-generation ec-H2O that’s coming out or do you see that having a maybe a negative impact in Q1 as our customers waiting for it or is that -- has that not been an issue for you?
Chris Killingstad: No. I mean, we don’t anticipate that that’s going to be an issue for us. We think these new generations as we said, it has all the benefits of the first-generation, plus it cleans better, cleans more types of soils and in more applications. So our judgment is that we will be as and hopefully more successful with this technology than we were with the first-generation. And to remind everybody, cumulatively through 2014 remember we launched this in 2008. The first-generation we’ve generated $740 million in sales and sold 65,000 machines. So that kind of puts what’s possible in context over the next four to six years with the new technology. So we’re really excited.
Joe Maxa: So what the new product do you expect your growth in ec-H2O that platform to outperform your normal or your planned organic growth or do you think there will be more inline or how do you see that compared to the rest of business?
Chris Killingstad: It’s hard to tell. I think, we will -- it gives us a few quarters and then we’ll have a better read on what we think it can do. But ideally, yes, it should outperform. And the good news is it’s also one of the highest margin products in our portfolio.
Joe Maxa: Okay. And last question on the tax rate, Tom, did the guidance include the 31% tax rate?
Tom Paulson: It did. We were more specific that we -- in our guidance we use the various specific tax rate of 31% even though our target range is 31% to 33%. We use 31% and that does assume the R&D tax credit reenacted. We’d like to believe that given our performance that we’ve had. There might be an opportunity to over -- to perform better and be at a lower tax rate. We just think for prudent reasons we’re planning at the low end of our range and we want to be real specific about that.
Joe Maxa: So it does not reenacted in Q1 was -- or it is not until Q4 like it was last year and perhaps with the year before, I don’t remember. But what rate should we be thinking about as we model, is it more like 32.5% range if…
Tom Paulson: No. It’s about a 50 basis point impact in total and so, therefore, if you assume that -- if you’re going to use 31% for the full quarter, for the each quarter and you wanted to assume that that the tax that it didn’t get reenacted until later in the year, you want to have a little bit higher tax rate in the first quarters. And then, if I was -- you guys had estimate that it doesn’t get, with our government it probably won’t get reenacted till the fourth quarter. That’s kind of the way it’s been. Sometimes they don’t get it done until the following year. But I wouldn’t believe they’re going to get it done early.
Joe Maxa: Okay. All right. Very good. Thank you.
Tom Paulson: You bet.
Operator: Your next question comes from Scott Graham with Jefferies. Please go ahead.
Scott Graham: Hey, guys. Nice quarter.
Chris Killingstad: Thanks, Scott.
Tom Paulson: Thanks, Scott.
Scott Graham: And congrats on the sales momentum. I guess I just want to talk about the one item that jumps out off of the page on the FX? And I’m just wondering what we can do about that going forward, because I don’t know where the dollars going, if you people do? But if we are in this period of dollar deflation, what type of steps do you guys need to make here, because that’s a huge hit to your earnings per share for 2015? I was just wondering how we can mitigate that, perhaps even during the year?
Tom Paulson: Yeah. The three things that will -- that we -- that we will move on are one price and that’s -- that kind of goes same. I mean, we have an obligation to optimize our pricing whenever we can, but we need to be market based. But we’ll sharpen our pencils there and we’ll get as aggressive as we can be. The other piece is, we will look at ways that we can move our capabilities of producing in other factories that will be more favorable for us. So that we can only move at a certain pace there, but we are already taken action and we are moving. So that will be one mitigation and then we are as everybody as of the current time use an advisors to take another look at our hedging strategies and seem what we can do in that regard. Those are the three big levers we can pull and we will -- other than that we’re going to remain real focused on the organic growth within our given geographies and staying competitive and our objective is to profitably grow share.
Chris Killingstad: Yeah. And Scott, you mentioned upfront, our growth momentum. I mean, one other things that we can -- we looked at very closely was our S&A spending in 2015. But the vast majority of our spending is against our growth strategies and they’re clearly working, as you saw with the 14% organic growth in the fourth quarter. So our judgment is that we have a window of opportunity here to continue to invest in expanding our market coverage and growing our market share before our competitor start reacting and so we’re staying the course on the growth front.
Tom Paulson: You will see our investments moderate a bit though. I mean, we’ve added a significant level of headcount and made big investments for two whole years now. We will moderate a bit, which we talked about that even before the foreign currency thing came at us. But we’ll be a bit more measured. You'll see us add a lot less heads in the upcoming year.
Scott Graham: Right. And then I guess, maybe my -- and thank you that. Those are strategies that we will look forward to you enacting a couple, in particularly the hedging, which I would have to believe that can help you a little bit this year. Anyway, the other question is about what it's doing to you guys competitively? Now in EMEA, how much of the sales in EMEA are manufactured in EMEA?
Tom Paulson: Close to 80%, 75% to 80%, so we really -- what we would tell you is that from a competitive point of view, the currency movements really have no impact on us in EMEA. I mean, the same things that effect in EMEA always do, where we don’t have the share position that we have in North America. We’re a smaller player in that market. But the good news there is we’re growing our strategies of work. We’ve simplified our business. We've made it more predictable. We made it far more profitable. And the things that we’re doing are continuing to work. So that really has so far has been a success storing and we are forecasting to have another year of success in the upcoming year.
Scott Graham: Right. And that’s where I was going with this. I suspect that you manufactured a lot locally there. So when you say, you’re sharpening your pencils on pricing you're talking about pricing up.
Tom Paulson: Yes. And those would be in the markets where we need to pay more attention than our markets that we’re exporting out of the United States and one of them real close to home is Canada and another one, the big one is Australia but there is multiple places where we export into, we don't manufacture there. We tend to export out of the North American plants. We’re going to look at ways that we can produce more in China, we can produce more in Europe and just create more flexibility, also increase our sourcing levels of componentry outside the United States.
Scott Graham: All right. Now I apologize, but now you have me a little bit confused because if we’re exporting -- increasing prices, that would be damaging.
Tom Paulson: That’s why it’s hard. That’s why you’ve got to be really careful. But the thing is…
Scott Graham: All right. So will you say -- so do you have to reduce prices on your exports now?
Tom Paulson: It’s not our intention. There is always selected places where you need to do that but our planning objectives are similar to what we’ve been in the last couple of years. Net-net, on the global basis, we’ve had a few years in a row where we’ve had 1% or so pricing benefit. Our assumptions for next year are similar.
Chris Killingstad: And we have some experience with this. I mean, this has happened to us before in places like Canada and Australia, right. So, we know from history how the market reacts to us taking the price increase. So, we are basing this on experience and feel comfortable that the price increases that we are contemplating, that will be accepted and will allow us to continue to grow in those markets and protect our profitability.
Scott Graham: Understood. Okay. Thank you.
Chris Killingstad: You’re welcome.
Operator: [Operator Instructions] Your next question comes from Dana Walker with Kalmar Investments. Please go ahead.
Dana Walker: Gentlemen, good morning, good quarter.
Tom Paulson: Thanks, Dana.
Chris Killingstad: Thanks Dana.
Dana Walker: If we could focus on that currency phenomena once again, if the currency drag is the $33 million to $50 million and you used the mid-point of about $40 million and yet most of your currency drag exposure, I suspect would be euro based even though that’s not where the earnings -- the disproportionate earnings effect is taking place. I think a lot of us are looking at that, Europe, of roughly a 10% operating margin business and you are describing a 25% to 30% decremental effect on profits. Where you loosing $10 million to $12 million on the mid-point of $40 million? Most companies that are in markets generally have a translational effect on their currency translation, that’s roughly in line with their profit margin. And we are looking at a profit margin effect here that’s 2.5 to 3x. It’s closer to your gross margin than your operating margin. Can you advance that conversation a bit more, recognizing that you’ve talked about Australia and Canada as being the most prominent market in this?
Tom Paulson: Yeah. And if you looked at it, there is -- I mean, if you took the middle of the range $10 million to $12 million on $72 million operating profit of last year, that’s about a 15% impact roughly. And we are seeing -- we are seeing an impact across our three broad geographies of North America, Latin America, across all four North America, Latin America, EMEA and APAC. And the larger percentage impact is in the markets that we are exporting into. So we export into some other North American markets and Canada being the place we export. And into Latin America, we have predominantly Brazil having the biggest impact there and then APAC, you have a few different markets that are export based. And those are the ones that the pass-through is higher. In the North America, Latin America and APAC, the pass-through is much smaller than EMEA because of the fact they are locally based.
Chris Killingstad: Not as amount as big.
Tom Paulson: Yes. What we’ve seen Dana is that if you look at companies that are -- you are looking at what our forecasted organic growth is. If you take the middle of the rage, it’s about 7% because we are seeing a range of 5% to 9%. And it’s not uncommon for many industrials to see the currency impact to be even triple of what their growth rates and ours is about double. So, I think we are -- we don’t like it and we are going to mitigate it. We know it’s going to come back. We do really think we are pretty in line with what our industrial model would be in there similar to us.
Dana Walker: I don't dispute that. The 4% to 6% seems to be perfectly acceptable. It’s the translation towards the margin impacts on that exposure that somewhat higher for what is a -- at the moderate end of an operating margin business that I think is surprising. If you are at 10% business and if you are in markets with your cost structure than in theory that 10% auto apply to the lost revenue currency translation wise and there’s 2.5 to 3 plus in this instance. And you described how you are not -- you don’t have in markets cost of goods in Canada, you don’t have in market cost of goods in Australia and in some other places but I think that’s the point of contention?
Tom Paulson: Yeah. I am happy to take it offline and talk about it in more detail, Dana, I think we can get you there so…
Dana Walker: Understood.
Tom Paulson: But I am happy to talk about in more detail. We’ve certainly given you tons of information here. So we’ll be happy to discuss it further with you offline.
Dana Walker: Well this is not easy, many people are contesting with something they haven’t seen in quite some time, can you…
Tom Paulson: As you know, we’ve never seen movements like this. We’ve typically had it a percent movement in a big movement quarter I mean quarter-to-quarter, which is why we are trying to be as absolutely as transparent as we can be, so we can have more open conversations.
Dana Walker: To the degree, that it doesn’t get in the way of your competitive position, can you talk about some of the technical advances with NanoClean that -- take this to be a better product than it was before?
Chris Killingstad: Sure, Dana. This is Chris. I’ll do that. It’s really about the formation of these nanoscale bubbles. What we have learned, when we launched the first generation of ec-H20 in 2008. There were bubbles in the output of that technology. We didn’t understand the impact of those bubbles to the cleaning process. We’ve done a lot of research on those technologies since then. And we have actually build relationships with some of the world’s leading nano bubble experts, and yes that is a field of research that is actually growing quite rapidly. We are associated with experts in the Netherlands and China and in Australia and we have begun to understand the impact of nanoscale bubbles on the cleaning process. And what we have learned is that nanoscale bubbles of a certain size range have a dramatic impact on cleaning. Outside of that size range, they don’t influence the cleaning impact hardly at all. And so that’s what we are really coming out here as an enhanced version of the first generation technology where they are able to create about the same concentration of the nanoscale bubbles, but within the appropriate size range that leads to superior cleaning performance. I mean that cleans better, cleans more dirt and cleans more applications. So that’s really the difference between the first generation and the second generation.
Dana Walker: Can you talk about some of the industrial markets that you presently address where it’s been arguable whether ec-H20 was a good solution and to the degree that you think you've expanded your relevance and addressing those with NanoClean?
Chris Killingstad: Yeah. No, it was surprising to us. Initially we did not think that the first generation of ec-H20 would be appropriate in industrial applications and yet we've had great success in getting attachments rates of ec-H20 on, some of our industrial equipment in Life Industrial application. So what this does, I think that it’s going to clean better in those applications and potentially it take us into more difficult industrial application. It still doesn’t -- it still won’t clean petroleum based sales but it does clean more difficult soils then the first iteration. So we think it will help us expand both in some of the commercial applications where a lot of our customers are little bit skeptical that the first-generation technology worked. We know in-side by side testing with first generation that cleans a lot better. It’s visible to our customers. We’ve done a lot of testing on that. So I think seeing is believing. So our judgment is that with NanoClean, we can own have a potential ahead of us here that at least as big as a first generation. And as I recorded before, we have cumulative sales of $714 million and 65,000 machines out there for first generation product.
Dana Walker: Is there an aftermarket opportunity to upgrade some of the existing in market fleet?
Chris Killingstad: We are not planning to do that. We may find that if we have some large fleet customers so we’re really anxious to adopt the NanoClean technology. We’ll figure out a way to switch out their fleet and get on the new technology. And then we have an aftermarket business for Tennant certified pre-owned equipment, we sell that to other customer. But we do not plan to retrofit any machine at this point.
Dana Walker: Couple of commercial question on the selling front as you have added customers facing people. Can you talk about what you think you are in a productivity curve and what your experience thus far has been on retention of these added resources?
Chris Killingstad: I would say that we are still on the -- in the low end of the productivity curve, it can take 6 months to 12 months to get somebody up to speed in our business. So we expect that to continue to improve over the coming years. And the retention-wise, I mean our retention rates are at or below industry averages. So the retention with this program has not been an issue. And I have to say that we’ve been able to attract very high caliber talent to these new sales position, also bodes well for the future.
Dana Walker: Final question happens to touch on aftermarket. As your internal growth has picked up, have you been with a big fleet of ec-H2O products out in the market. Have you found that your aftermarket business has begun to accelerate along with your core business?
Tom Paulson: Not nearly at the pace that our equipment grows and that’s typical, what you would see is your aftermarket will lag a bit behind your equipment sales, especially as you take a spurt out. I mean the kind of growth that we just saw was 10% organic growth across the year. And I would say our aftermarket is growing just fine, but it will present nice opportunities for us as we go forward, as we significantly increase the size of our install base. So that growth will come in the future. I think the annuity of that enhanced as we’ve accelerated our equipment sales.
Chris Killingstad: And the other thing we found is increasingly our customers are willing to buy the parts of the consumables online, right. And as we told you before we are at the process of the building of e-commerce platform with the focus initially on our parts and consumables business and our Tennant certified pre-owned equipment business. And I think that once that’s up and running and that we should -- we probably won’t see benefits from that until next year. It takes while to build that platform. But that should also help accelerate our parts and consumables growth.
Dana Walker: Chris, maybe one last question. Could you talk about what you believe you are with this updated Orbio technology? You’ve been working to crack the code for a while on not only what works technically, but what can sell and how to sell, where are we?
Chris Killingstad: Well, I mean, we remain extremely bullish on the long-term potential of the technology. And you talk about cracking the code, anytime you bring disruptive technology into marketplace, it takes time to the get adoption. So the results are not yet material to Tennant’s overall results, but I track personally is leading indicators. Are we building a prospect pool, right? Are we getting more of those prospects actually trial the Orbio products? And once they’ve trialed, are they adopting? And once they’ve adopted, especially like a university where you could sell 20 to 50 units to the university, are they starting to do repeat purchases? The other thing that we monitor very carefully is our customers review the technology for in excess of three months. And what do they think? And universally, we get very, very positive feedback. So there is nothing that we have experienced so far that is a structural obstacle to us being extremely successful with this technology is just going to take a little bit of time.
Dana Walker: If you were to frame now what you believe this might account for, pick a number five years down the road. And how material it might be to your total business and how would you approach that question?
Chris Killingstad: Well, I mean, what I would say is it going to be a material to our overall results? And if it’s at the high end, at the most optimistic it could be they a very big nice business for us.
Dana Walker: Is five years the right time line to think about or is that unknowable?
Chris Killingstad: I think it’s unknowable at this time because if you ask me when we launched, we have made better progress than we had I’d say yes. But there is something that I have learned with disruptive technologies. Sometimes you overestimate what’s possible in the short-term and innovators tell you this all the time and you underestimate what’s possible in the longer term. So I’m hoping that that is the way this plays out and we’re actually underestimating what we are going to see here. Hopefully not in five years. I mean, I think this is more of a one to three year proposition before we know definitively what the commercial viability and size of this business could be.
Dana Walker: Very well. Thank you both for the update.
Chris Killingstad: Thanks.
Operator: Since there are no further questions at this time, I would like to turn the call over to management for closing remarks.
Chris Killingstad: All right. Thanks, Stephanie. The new growth strategies we outlined at the beginning of 2014 are working and spurt broad-based sales gains in each quarter of 2014. Sales grew ahead of plan over the year and ahead of the 7% annual organic growth rate in our roadmap to reach our organic growth goal of $1 billion in sales by 2017. And as I noted earlier, we remain committed to the goal of 12% or above operating profit margin. We look forward to updating you on our 2015 first quarter results in April of 2015. Thank you for your time today and for the questions. Take care, everybody.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.